Operator: Good morning, and welcome to the Third Quarter 2017 Earnings Release Conference Call for FMC Corporation. Phone lines will be placed on listen-only mode throughout the conference. After the speakers' presentation, there will be a question-and-answer period. I will now turn the conference over to Mr. Michael Wherley, Director, Investor Relations for FMC Corporation. Mr. Wherley, you may begin.
Michael Wherley - FMC Corp.: Thank you, and good morning, everyone. Welcome to FMC Corporation's third quarter earnings call. Joining me today are Pierre Brondeau, President and Chief Executive Officer and Chairman, and Paul Graves, Executive Vice President and Chief Financial Officer. Pierre will review FMC's third quarter performance and provide the outlook for the full year and fourth quarter. Paul will provide an overview of select financial results. The slide presentation that accompanies our results, along with our earnings release and 2017 outlook statement, are available on our website, and the prepared remarks from today's discussion will be made available after the call. Mark Douglas, President, FMC Agricultural Solutions; and Tom Schneberger, Vice President and Global Business Director of FMC Lithium, will then join to address questions. Before we begin, let me remind you that today's discussion will include forward-looking statements that are subject to various risks and uncertainties concerning specific factors, including, but not limited to those factors identified in our release and in our filings with the Securities and Exchange Commission. Information presented represents our best judgment based on today's information. Actual results may vary based upon these risks and uncertainties. Today's discussion will focus on adjusted earnings for all income statement and EPS references. A reconciliation and definition of these terms, as well as other non-GAAP financial terms to which we may refer during today's call, are provided on our website. With that, I will now turn the call over to Pierre.
Pierre R. Brondeau - FMC Corp.: Thank you, Michael, and good morning, everyone. Before delving into our third quarter results, I just want to state that we successfully closed our transactions with DuPont on November 1 as expected. This was a great achievement for the hundreds of FMC and DuPont employees who worked diligently in a very compressed timeframe to carve out and stand up the acquired portion of the DuPont Crop Protection business for day one operations and to separate our Health and Nutrition segment for divestiture. We are excited about this transformation at FMC and the way it positions our Solutions business as a leader in crop protection. FMC now enters its next phase as a focused growth company in both Ag Solutions and Lithium. We continue to expect that we will conduct a separate listing of FMC Lithium in the second half of 2018 to create two independent public companies with each becoming a pure-play investment opportunity for shareholders. As we prepare for that listing, we will continue to expand both our lithium hydroxide and our lithium carbonate capacities to capitalize on the significant demand expected in the coming decades. But first, I will review the overall third quarter performance where FMC had a very strong quarter in both Ag Solutions and Lithium. Next, I will update our full-year and fourth quarter projection which now include two months of contribution of the DuPont Crop Protection acquisition. Paul will then provide commentary on select financial results. I will then finish with a few highlights of the 2017 performance of the acquired business, followed by updates on our 2018 assumptions. Turning to slide 3, FMC reported third quarter revenue of $646 million, which was up 3% year-over-year. Adjusted EPS was $0.70 in the quarter, nearly 60% higher than the same period a year ago. Adjusted EPS was $0.08 above the midpoint of our guidance, driven by strong operating results in each of our two segments. We are very pleased with our third quarter results. Both of our segments posted record third quarter earnings. Ag Solutions faced challenging market conditions, and many of our ag competitors discussed ongoing price and volume pressure in Brazil. FMC was able to outperform the market due to the work we did in 2015 and 2016 to proactively reduce channel inventories. In Lithium, we executed our phase one lithium hydroxide expansion extremely well in a market where delays have become the norm. Let me now move on to slide 4 and Ag Solutions performance. Third quarter segment earnings were very strong, growing by 31% year-over-year to $118 million. We also saw strong sales performance with 6% revenue growth excluding India. The growth was driven by the 12% increase in Latin America with Brazil volumes especially robust, and a 9% increase in North America. Offsetting this growth was a 4% decline in Europe and a 32% decline in Asia which was largely due to sales decline in India. We decided to take actions in India to prepare for the integration of the different market access channels between FMC and the acquired business which reduced overall Ag Solutions revenue by 7%. India is the only market where FMC and DuPont have significantly different channels to market. In total, third quarter global revenue of $552 million was down 1% year-over-year. The 31% segment earnings growth was driven by volume gains around the world excluding India, improved performance of our Brazilian business and overall lower operating cost. As you can see on the segment earnings bridge, the negative impact of the India sales decline was far smaller than the positive EBIT impact of the volume gains in the rest of the world. We expect overall profitability of the Indian market to increase significantly as a result of the DuPont acquisition. Foreign currency movements in the quarter offset modestly lower prices. Year-to-date, the net revenue impact from price declines is 2%, which is consistent with our expectations for the full year. Moving next to slide 5 where we outline three main drivers of the ag business so far in 2017. First, we have seen significant volume growth across many markets. In Latin America, FMC volume is 20% higher year-to-date, driven largely by Brazil where we are outperforming the overall market. We have also seen continued improvement of the fundamentals of Brazil's cotton and sugarcane market, two markets where FMC has significant share. We now expect the overall market in Brazil to be down high single-digit for the full year 2017 due to ongoing channel inventory actions being taken by some of our competitors. However, we believe product usage is largely flat. In Asia, excluding India, FMC volume is up 9% year-to-date. This growth has been driven by successful product launches in China, strong demand for rice insecticides in Indonesia and increased herbicide demand in Australia. We believe the overall Asia market will be flat for the full year 2017, slightly worse than we thought three months ago. In North America, FMC has posted a 2% volume gain year-to-date, which is largely in line with our market expectations. Our results were driven by stronger demand in the first half for pre-emergent herbicides, as well as third quarter strength in post-emergent herbicide and full year insecticides. We now expect the North American market to be roughly flat for the full year due to higher demand for full year insecticides. In Europe, FMC volumes are down 6% year-to-date, which is slightly lower than the overall market. Our results were largely due to the impact of FMC's business in France moving from distribution to direct market access. You will recall, France is the final country to make this transition from the Cheminova acquisition. We continue to expect the European market to be down in the low to mid single-digit range for full-year 2017. Moving to the second key factor in our year-to-date performance, which is the significant improvement in profitability in Brazil. The primary driver has been higher sales volumes, leading to 24% revenue growth. One of the main reasons FMC is outperforming the market in Brazil is a proactive management of channel inventories over the last two to three years. Our actions have reduced channel inventories of FMC product by 35% year-over-year and by 50% since the peak at the end of 2015. We believe that we are operating with closer to normal channel inventory levels of FMC product today. We have also benefited from a significantly lower cost base and improved product mix. Combined, these drivers have led to operating margin Brazil increasing nearly 400 basis points year-to-date. The third factor in our year-to-date results is the significant top-line headwind from the volume decline in India, which was primarily felt in the third quarter. As we stated earlier, this needed to be done so we could integrate two different channels to market after November 1. These actions mostly impacted the lower value in use portion of our business, hence the low impact on earnings. I will address the outlook for Ag Solutions after covering Lithium's third quarter performance. Moving now to slide 6. Lithium delivered an exceptional quarter, driven by the successful ramp-up of production from the new hydroxide facilities in China. Revenue of $94 million was up 28% sequentially and 35% year-over-year. Segment earnings increased over 50% sequentially and more than doubled year-over-year to $37 million in the quarter. Significantly higher volume and prices were the main contributors to the growth, driving the segment earnings margins of 39% versus 33% last quarter and 25% in the prior year period. Regarding the ramp-up of our new hydroxide operations in China, we operated at an annualized rate well in excess of the 8,000 metric ton nameplate capacity in the month of September. We are very pleased to have delivered this capacity expansion on time and under budget and it speaks to the engineering expertise of our Lithium business. Our debottlenecking project at our operation in Argentina also contributed to our Q3 results. The completed project has a deferred run rate of 2,000 tons per year of carbonate and will be at the full 4,000 ton run rate by the end of 2018. We continue to move forward with the expansion in Argentina where we plan to add at least 20,000 tons of lithium carbonate capacity with an initial investment of $250 million to $300 million. We are progressing the engineering work, and we are in discussions with the local authorities to finalize these plans. Turning to slide 7 and the year-to-date results for Lithium. Revenue has increased by 21% compared to the same period last year and earnings are up nearly 70%. From an overall market perspective, much of the focus remain on the supply-demand balance. In 2017, we have seen conditions tighten further as demand growth continues to exceed supply additions. Incremental supply of lithium carbonate continues to be provided from high-cost spodumene resources. In lithium hydroxide, FMC was the only producer to add significant capacity in the year. As we have discussed previously, pricing for FMC lithium is significantly higher compared to last year. Year-to-date, the average price per LCE is more than 20% higher than the same period last year, with hydroxide being the largest contributor, but all major product groups showing increases. Late in the quarter, our two China hydroxide units produced at full capacity, creating the second-largest driver of improved performance, which is higher volumes. These two hydroxide units, which were completed in less than 12 months, had a capital cost of less than $20 million operated in September at a rate of 9,000 tons per year, which is 12% higher than their nameplate capacity. Just as important, the customer qualification process has gone very smoothly, and the vast majority of our customers have signed off on the quality of the product we make in these two units. This means that we are now producing and filling at an annualized rate approaching 9,000 tons per year, doubling our lithium hydroxide capabilities compared to the same point a year ago. Moving to slide 8, which summarizes our outlook for the fourth quarter and the full year including the impact of two months of results from the acquired business. We now expect adjusted EPS to be in the range of $2.59 to $2.69 which represents year-over-year EPS growth of 35% to 40%. This includes guidance for fourth quarter adjusted earnings in the range of $0.98 to $1.08 per share. We expect full-year Ag Solutions revenue to be in the range of $2.5 billion to $2.6 billion and segment earnings will be in the range of $465 million to $485 million. We anticipate the legacy Ag Solutions business will contribute $2.3 billion to $2.4 billion of revenue and $425 million to $445 million of earnings in 2017. The earnings guidance for the legacy Ag business represents 9% year-over-year growth and a $5 million increase versus prior guidance at the midpoint. Fourth quarter segment earnings are forecasted to be in the range of $168 million to $188 million. In Lithium, we are leaving our full-year revenue guidance up for the segment at a range of $340 million to $360 million, a year-over-year increase of over 30% at the midpoint. We are raising our segments' earnings guidance to a range of $124 million to $128 million, a year-over-year increase of nearly 80% at the midpoint and a $6 million increase versus prior guidance. We expect fourth quarter Lithium segment earnings in the range of $41 million to $45 million, which represent 17% sequential improvement at the mid-point as well as a doubling of earnings year-over-year. I will now turn the call over to Paul.
Paul W. Graves - FMC Corp.: Thank you, Pierre. Looking at cash flow on slide 9, we continued to improve our cash generation performance with adjusted cash from operations 9% higher year-to-date compared to the same period last year. This is underpinned by improved collection in Brazil as mentioned earlier. Although the credit environment in Brazil remains weak, our overall credit exposure has improved significantly in the last 12 months with account receivables in Brazil 13% lower than a year ago despite strong sales in Q3 of 2017 and past due receivables declining significantly. We're not yet able to give a detailed forecast for full-year cash flows given the short amount of time we have owned the acquired business. However, our cash flow expectations for the legacy FMC business, excluding the acquired business, remains in line with our forecast of three months ago with adjusted cash from operations in the $400 million range. Looking forward to the end of the year and our forecast for our year-end net debt balance. We ended the third quarter at just over $1.6 billion, down $233 million from a year ago. Since the end of the quarter, we have fully drawn a $1.5 billion term loan to fund our acquisition of which we transferred approximately $1.2 billion to DuPont under the terms of the transaction. The remaining $300 million will be held as cash to meet various obligations related to the transaction, primarily tax payable on the sale of Health and Nutrition. The actual payment of many of these obligations will fall into the first quarter of 2018. In addition, we expect to receive significantly higher customer prepayments related to the acquired business in North America. Given this, we expect to carry a significant cash balance at the end of December 2017, with higher cash outflows relative to historical patterns in Q1 and Q2 of 2018. The net result is that we expect our gross debt at the end of calendar year 2017 to be approximately $3.2 billion, with net debt of $2.8 billion to $2.9 billion. And with that, I will turn the call back to Pierre.
Pierre R. Brondeau - FMC Corp.: Thank you, Paul. I mentioned at the start of the call that I would give you a few highlights on how the acquired business is performing this year. The revenue growth for the acquired business has been robust year-to-date. For full year 2017, revenue is expected to grow about 6%, which is driven by very strong performance in India, as well as increased sales of insecticides. The overall performance of the business is largely in line with our forecast made in March. A second key driver in 2017 has been the acquired business strong work this year to reduce channel inventories in its product in the Americas. We believe the acquired business have normalized inventory levels in both North America and Brazil. This performance positions FMC well to continue growing the business in 2018 at a pace at least as high as the 2017 growth. We believe this provides upside to our prior assumptions for the growth of the combined Ag Solutions business in 2018. This brings me to slide 11. We have updated some of the numbers, and we would also like to refer a comment about how we feel after owning the DuPont business for a few days. As we mentioned earlier, we have increased our 2017 earnings guidance for both our legacy Ag business and for our Lithium segment. We have also lowered our estimate for incremental D&A related to the acquisition, and we now have more certainty on the expected financial impact of the regulatory remedies in Europe and India. We are not changing the cost synergies range. As we have explained, these cost synergies are not the usual savings seen in acquisition. Remember that we are getting the business from DuPont with almost no corporate or macro fee structure. Cost synergies, in our case, are a combination of real cost decreases such as opportunities to operate plants at a lower cost and cost avoidance opportunities where we add less cost than were anticipated in the acquisition model. Our assumptions for EBIT growth in the combined Ag Solutions segment has the potential to have the most upside relative to the initial forecast when we assume 2% to 4% revenue growth in 2018. Based on what we have seen so far regarding the current business, we are feeling more positive about 2018 growth for Ag Solutions. We will be able to give more clarity on this topic during our February 2018 earnings call. Moving over to Lithium, We expect the positive trend we have seen year-to-year to continue through 2018, and we continue to expect Lithium earnings to increase by $40 million to $50 million. In summary, we feel very good about where FMC is today. Our current Ag Solutions business delivered record Q3 earnings, and we are set to deliver a strong Q4 driven by Latin America. The integration of the acquired business is in full motion with our team already – teams already operating together. Lithium had a very strong quarter and is on track to deliver even higher earnings in the fourth quarter as the new hydroxide units are in full commercial operations. I want to thank you for your attention, and I will now call – turn the call back to the operator for questions.
Operator: Thank you very much. We'll take our first question that will come from the line of Chris Parkinson with Credit Suisse. Please go ahead.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thank you. As your platform further transforms toward the discovery phase and AI development, can you just comment on your initial thoughts you have on long-term strategies and how you're positioning your team for success. And just that and any initial thoughts on product procurement given the size of some of the new products you'd now have and how that rolls through onto various global agreements and asset utilization? Thank you.
Mark A. Douglas - FMC Corp.: Hey, Chris. It's Mark. I'll take the R&D piece and then I think Pierre is going to take the procurement piece. On the AI, obviously, we have strong research capabilities with the DuPont acquisition, and we've already had our first initial set of meetings. What we're going to be looking at going forward is in excess to what we have today, we're looking at what pests, what crops are going to be our focus in the future. If you look at our portfolio today, you can see we obviously now have a very strong insecticide portfolio. We have a very balanced herbicide portfolio. Where I feel we're behind the market is in the area of fungicides. So that's going to be an area of attention where we're going to be looking for hits coming out of basic discovery to help broaden that portfolio of fungicides. In addition, the area of nematicides also springs to mind, very much allied to our insecticide work but an area of focus that we'll also go for. So I think you can see that the fungicides space is something that we really want to boost going forward.
Pierre R. Brondeau - FMC Corp.: Thanks, Mark. Regarding procurement and the size of the new Ag business, I think needless to say that when we talked about synergies and cost synergies that is typically one of the place where we are looking at significant synergies. We are still quantifying all of that. We believe that one of the number one source of cost saving will be with our toll processors who are producing active ingredients. We do have the former DuPont business and FMC lots of toll processors in common, and we know that we have possibilities to create significant saving here. We also have the same situation on some of the critical raw materials. So, we are quantifying all of that. It will be part of numbers we will be reporting early next year. But we clearly have two source of cost saving. One is tollers and one is direct raw materials.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: And just a quick follow up. I know it's obviously a little bit early, but just given what you've seen for Rynaxypyr this year, can you just give us some quick color on what you're seeing on a regional basis in your expectations? I imagine Brazil might be a slight headwind. But what do you see in the intermediate to long term on the opportunity front in Asia and any rice markets? Do you have any line of sight as it pertains to 2018 and 2019? Thanks.
Mark A. Douglas - FMC Corp.: Well, since we've only had it for a few days, Chris, that's a deep question. I would say if you look at the spread of where the products are, obviously Asia is an area of focus for us. The business itself has a superb route-to-market in India, which is one of the fastest-growing markets in the world. So, I think you can expect us to see – make more headways in India. Obviously, on rice, Rynaxypyr is a big product. But I also feel Cyazypyr on the more niche crops, the fruit and vegetables area in Asia will also be a benefit to us as well.
Pierre R. Brondeau - FMC Corp.: On your comment about Brazil, Chris, which is a valid comment, remember, Rynaxypyr is not a Brazil story. It is much more of an Asia, Europe or North America story. The market is fairly, sales are fairly small for us in Brazil. The other point I would like to add, which is not a direct answer, but I want to use your point here of your question to talk about what we understand the team has done, and we went through there a number as quickly as we could. The team, when they were separated from DuPont and operating as a stand-alone organization, Rynaxypyr and other product did a tremendous job in removing excess inventory from the channels. So think about a situation where not only this business in 2017 grew at 6%, but at the same time was capable of bringing its level of inventory in the channel almost to normalized level, which is giving us very strong expectation going into 2018.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC: Thank you.
Operator: Thank you. Your next question comes from the line of Frank Mitsch with Wells Fargo Securities. Please go ahead.
Frank J. Mitsch - Wells Fargo Securities LLC: Good morning, gentlemen, and congrats on the closing of the transaction.
Mark A. Douglas - FMC Corp.: Hey, Frank.
Frank J. Mitsch - Wells Fargo Securities LLC: Regarding the assumptions on 2018, it looks like your EBITDA is coming in somewhere around $1.2 billion or something on that order of magnitude. I was wondering if you could do a bit of a walk on where free cash flow may come in based on the guidance that you're – the range of guidance that you're offering on the EBIT side for 2018.
Mark A. Douglas - FMC Corp.: Sure, Frank. Let me just give you a bit of color around what we're watching out for. I mean, clearly, when we run from EBITDA down to free cash flow, the two big areas I tend to keep my eye out for are number one, clearly, working capital movements, and in our business historically, it has been a Brazil issue. As Pierre just mentioned, the acquired business really is not a large Brazilian business. And so we do not see a big headwind from what I'll loosely call rebuilding receivables in Brazil. As you'll recall, the terms of the transaction were that we do not receive any receivables from this business, so there will certainly be a rebuild. And I would expect that almost all the sales that you see happen in the last two months of this year will run through (33:46) Latin America, run through in an increased receivables balance. Offsetting that though, we continue to make very, very positive progress in Brazil with the legacy Ag business. You've seen some of the data we've put down here. We continue to reduce the capital tied up in that business, and I expect that trend to continue through 2018. When we look at the rest of the business, clearly, the single biggest factor that we will then be looking at will be capital spending. The business we acquired from DuPont is a little more capital intensive than our business, but it is still not hugely capital extensive. The Lithium business, we've made statements about $250 million to $300 million of investment in Argentina alone. Most of that will take a couple of years to spend. So again, while we'd expect capital spending to be higher in 2018, I certainly would not expect it to be a huge swing on that data, so I expect that we will have a pretty strongly cash-generative year next year. It's a little early to put specific numbers on it, but I certainly don't see anything that doesn't encourage me that we would expect to see significant cash generation in 2018 across the business.
Frank J. Mitsch - Wells Fargo Securities LLC: Okay. That's helpful. And with respect to Argentina and that 20,000 ton expansion costing $250 million to $300 million. I don't believe you've made a final investment decision on that. Have you? And if not, when would you anticipate going down that path?
Pierre R. Brondeau - FMC Corp.: Yes. I think, Frank, we are very close to making a final decision. Hopefully, we are just a few weeks away from this, potentially bringing that to our board at the December board meeting for approval. So we are getting very close to making that decision.
Frank J. Mitsch - Wells Fargo Securities LLC: Thank you so much.
Pierre R. Brondeau - FMC Corp.: And I must say also, as long as talk about that, 20,000 today – we are studying the market. 20,000, I would say, is a minimum, and we are looking at building capacity, potentially beyond that all the way up to 40,000. So it's a work in progress but just a few weeks away from it.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. So, I mean, the basic point is that if you do decide to go ahead and do this, this project will be well underway prior to the IPO in the back half of next year.
Pierre R. Brondeau - FMC Corp.: Absolutely.
Frank J. Mitsch - Wells Fargo Securities LLC: All right. Thank you.
Operator: Thank you. Your next question comes from the line of Robert Koort from Goldman Sachs. Please go ahead.
Robert Koort - Goldman Sachs & Co. LLC: Thanks very much. Had a couple quick lithium questions. First, I was wondering, do you guys make today more money selling carbonate or converting that and selling it as hydroxide?
Thomas Schneberger - FMC Corp.: Hi, Bob. It's Tom. We make more money today selling our hydroxide.
Robert Koort - Goldman Sachs & Co. LLC: Got you. And then the expansions you mentioned, there hasn't been a lot of industry incremental expansion. Obviously, there's a lot of incremental enthusiasm for the high nickel batteries and hydroxide. What do you see from the industry in 2018, and are you sensing any anxiety on the part of the battery supply chain about availability of hydroxide to feed some of this demand enthusiasm?
Thomas Schneberger - FMC Corp.: Yeah. It's a good question. What we're seeing, and it's very significant in China and then we're seeing it around the world with OEMs, is the ramp-up of the higher nickel cathode material capacity. So it is definitely accelerating, and we're already having discussions around 2019, 2020 volumes and contract discussions are getting longer, not shorter.
Robert Koort - Goldman Sachs & Co. LLC: And have you picked, Tom, where you're going to put those next modular hydroxide plants? I think you mentioned there's a couple more in the queue, but hadn't quite defined where those would go.
Thomas Schneberger - FMC Corp.: Yes. So again, similar to the carbonate comment that Pierre made, the 12,000 to get us to 30,000 total is a minimum, and we're ready to progress more than that, if need be. And the next units are going to go at both of the existing sites we're operating today to get the benefits of the infrastructure there.
Robert Koort - Goldman Sachs & Co. LLC: Great.
Pierre R. Brondeau - FMC Corp.: Both being China and North Carolina.
Robert Koort - Goldman Sachs & Co. LLC: Yeah. Thanks, Pierre.
Pierre R. Brondeau - FMC Corp.: One in each.
Operator: Thank you. Your next question comes from the line of Steve Byrne from Bank of America. Please go ahead.
Ian Bennett - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Hi. Thanks. This is Ian Bennett on for Steve. In the Ag business, year-over-year growth was influenced by costs in other was a large contributor. Can you talk a little about what that cost other line was and what the expectation is for 2018?
Pierre R. Brondeau - FMC Corp.: Yeah. Let me talk a little bit about margin improvement in general in the Ag business. First, let's talk about costs. We are operating with just a lower operations cost across the company in mainly in Latin American and Brazil. Remember Brazil two years ago was over $1 billion with a very large organization. We shrank that organization and tightened up our structure in order to focus on more technical and higher margin products. So we have a lower operating cost from a structure standpoint. We also have a lower operating cost in Latin America and Brazil because we are now, with the work we've done operating with a much cleaner balance sheet. So we do have, yes, less financing cost, less hedging cost. So we do have a much, much cleaner balance sheet, which is lowering our balance sheet expenses. So that's one part of the improvement of the margin in the Ag. The second one is, especially this quarter, is geographical mix. As we explained, we realigned or we are realigning the channel to market in India because DuPont is coming with a very robust system and channel to market, business and channel to market. So we have lowered low-margin sales in India, while we had a very strong quarter in North America, which is the highest margin. So we are benefiting from a good geographical mix. And final, you remember over the last two years, all the way to the end of 2016, we have been decreasing our sales of non-differentiated generic products or third-party distribution. And that also is contributing to a strong increase in our margins. So those are the three key drivers. Mark, did I forget anything?
Mark A. Douglas - FMC Corp.: No, you got them all.
Ian Bennett - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thanks. That's helpful. And as a follow-up, you mentioned earlier that year-to-date price is down 2%, but the outlook for volume growth next year looks quite favorable due to destocking. How do you think about price mix in the industry as we move into 2018, and are there particular areas or products that you're experiencing intensifying price mix pressure?
Pierre R. Brondeau - FMC Corp.: I think the price pressure has been mostly in Latin America and Brazil, and it's linked to two things. First of all, one is the competitive nature of the business where competitors maybe are starting to see the need to decrease the level of inventory in the channel which is always creating price pressure and also the fact that Brazil is a place where the price is indexed on currency. So that's the main driver. If you look at our, what we're expecting this year is to have a 2% price decrease. That is mostly coming from Latin America and Brazil. So most likely to remain next year because we believe our competitors are going to need a good couple of years like we did to clean up the situation. So those are the main drivers but we don't expect more pressure than that in the market going into 2018.
Ian Bennett - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Thank you very much.
Operator: Thank you. Your next question comes from the line of Dmitry Silversteyn from Longbow Research. Please go ahead.
Dmitry Silversteyn - Longbow Research LLC: Good morning. Thank you for taking my question. I was just wondering with all the conversions that you're doing to lithium hydroxide, can you update us on how much lithium carbonate capacity and lithium chloride capacity you have left to serve other non-battery markets, and where you are in sort of your drive to convert more and more of your carbonate to hydroxide? And I'm obviously asking prior to this 20,000 ton expansion that you're looking to add.
Thomas Schneberger - FMC Corp.: Yeah. So again, this is Tom. Thanks, Dmitry. We expect to come in between 18,000 and 19,000 tons of LCE production this year. We will be over 20,000 next year and up to 22,000 run rate by the end of next year. That's before any expansions. We may get a little bit more than that. Overall, in terms of the strategy, you have to realize we're trying to stay long carbonate. Some years will be a little bit longer than others. We don't yet see a year where we're going to be short carbonate, but we don't have as much to offer to the market as some do. In 2019 also, we'll have the Nemaska volume begin to come to us for conversion as well, and then we'll have the expansions coming in as well.
Dmitry Silversteyn - Longbow Research LLC: Okay. And then just a follow-up on the non-battery market, the butyllithium and the stuff that goes into greases and more industrial applications. Are you seeing strong pricing there as well? I mean is that market becoming short just as the battery market seems to be a little bit shorter of demand right now? And what are the pricing in those markets look like compared to the battery-grade stuff? I'm just looking in terms of year-over-year increases, not in absolute levels obviously.
Thomas Schneberger - FMC Corp.: Yeah. So lithium is a pretty segmented market especially outside of energy storage so you need to look at case by case. In general, prices will go up. We expect prices to go up next year across the board. You do have some regional markets and then you have some different dynamics between the regions. (44:28) is that way to some extent, but across the board, we expect to see price increases.
Dmitry Silversteyn - Longbow Research LLC: Okay. Thank you.
Thomas Schneberger - FMC Corp.: You're welcome.
Operator: Thank you. Your next question comes from the line of Don Carson from Susquehanna Financial. Please go ahead.
Donald David Carson - Susquehanna Financial Group LLLP: Thank you. Pierre, I'm just wondering what your updated view on the overall market is. I know you said in the past you thought 2017 would be the third year of decline, albeit there less of a decline and that you saw growth in the overall market for 2018. Is that still your view? And then when will you have a better idea on the synergy side in terms of – specifically on the costs you need to bring in? I'm thinking specifically on the distribution side because it seems in the past you just used industry average percentages to come up with your forecasted cost savings.
Pierre R. Brondeau - FMC Corp.: Yes. Let me talk the synergy aspect first. We want to be very clear, and I think that's what you're implying in your question. Synergies here are not your regular type of synergies where you're measuring your head count decrease and consequently you're monitoring how much cost you are removing from your operation. We're going to have two type of what we call, maybe a bit loosely, cost synergies. One is the real cost synergies, we talked about procurement is one driver. We believe there is significant opportunities here, and there is opportunities in plant operation and supply chain. Those are real cost synergies. The rest is just we are trying to define what is the operating cost we need for this business versus the model we had when we made the acquisition. Now, understand that the business which is coming at us, I know there is a tendency to push very large synergy number because we sometime believe DuPont being a large corporation, they come with large corporate cost. But remember, none of that is coming to us. We are getting no corporate cost, we are getting almost no back office people, no back office structure. So, we're only getting the manufacturing, the research, the sales, the marketing supply chain people and that's it. From this, we are adding very carefully to operate the business with the TSA we have with DuPont. We believe by the time we get to January, we will have defined our operating cost to run the business. That's where we're going to be. We're going to be looking at it. So by the time we get to the February earnings call, we – by the time we get to the February earnings call, we should be able to give you a very good sense for the bucket of real synergies and what is the operating cost of the business with those two businesses together. So our guidance in 2018 should be pretty firm when we give it with our Q4 numbers. Regarding the ag market outlook, the way we are looking at it today, we would say globally flat, maybe low-single digits, but that's about – we believe and we sense a stabilized situation. We definitely do not see decline, but more a flat to low-single-digit picture getting into 2018.
Donald David Carson - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you. And your next question that comes from the line of Joel Jackson from BMO Capital Markets. Please go ahead.
Joel Jackson - BMO Capital Markets (Canada): Hi. Thanks. Good morning. When you talked about the $40 million to $50 million of Lithium EBIT growth for 2018 can you maybe at least generally talk about how that might divide into buckets in terms of price, volume, and margin? You talked about the volume on hydroxide, but maybe a little bit on how it might split across the different buckets. Thanks.
Thomas Schneberger - FMC Corp.: Hey, Joel. This is Tom. Thanks for the question. I would expect it to be a little bit more than half price and a little bit less than half on volume. We're still early in the price discussion, so we may be able to get a little bit more than that. But it's hard to relay that to you right now.
Joel Jackson - BMO Capital Markets (Canada): Okay. Thank you for that. Also back on crop protection, you talked about channel inventories of the acquired business to be somewhat stable, somewhat just at normalized levels. Can you maybe give a little more color on what – in what regions do you think that the acquired business' channel inventories are tight or normalized, and maybe which ones are a little bit higher than normal? Thanks.
Pierre R. Brondeau - FMC Corp.: Yes. What we've seen, what we've studied, I mean, clearly, there is two place where there was a very high level of focus, where they have normalized their inventory level, that would be Brazil, Latin America and North America. What is not – China too. What is normalized? It depends upon the market, but anything around 25% is a number where you would consider you have normalized channel. And so, those are the three places, China, Brazil, to some extent Latin America and North America, where the biggest work has been done.
Joel Jackson - BMO Capital Markets (Canada): Thank you.
Operator: Thank you. Your next question comes from the line of Aleksey Yefremov from Nomura Instinet. Please go ahead.
Aleksey Yefremov - Nomura Securities International, Inc.: Good morning. Thank you. I wanted to go back to the Argentina expansion. I think, Pierre, you mentioned that you're within a few weeks of making a final decision there. Does this also mean that you're within a few weeks of getting the government approval for the project as well?
Pierre R. Brondeau - FMC Corp.: Yes. When we say a few weeks, it's about everything which is required to build expansion, to get approval to separate the business within a few months. So, yes, it includes all approval, internal, external.
Aleksey Yefremov - Nomura Securities International, Inc.: Great. Thank you. And then a follow-up on lithium pricing question. Does your 2018 lithium forecast at this point carry the risk of pricing being higher or lower? In other words, do you still have a lot of volume, a lot of negotiations to conclude for the next year in terms of price?
Thomas Schneberger - FMC Corp.: Yeah. This is Tom. I'd say that it's a muted risk. We've got defined pricing and most of the volumes already under contract, so there's still some discussion as to the actual 2018 price within a defined range. But I don't think we carry a lot of risk there.
Aleksey Yefremov - Nomura Securities International, Inc.: Thank you.
Operator: Thank you. Your next question comes from the line of Mike Sison from KeyBanc. Please go ahead.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Hey, guys. Nice quarter.
Pierre R. Brondeau - FMC Corp.: Thank you.
Michael J. Sison - KeyBanc Capital Markets, Inc.: You had a bunch of – not a bunch, but you had a number of molecules you were developing on the legacy Ag business. How are those unfolding and will you have any impacts in 2018?
Mark A. Douglas - FMC Corp.: Yeah, Mike. The portfolio itself, the pipeline is absolutely on track to where we've communicated in past quarters. One of the first molecules that comes to market is bixafen. That will hit in the second half of 2018 in North America. So it will have some impact but it will be somewhat muted. Then, we have the rest of the range coming through really in the 2019, 2020, 2021 timeframe. But everything is on track exactly as we said before, so we feel really good about that part of the pipeline. Obviously, as you know, the DuPont pipeline is much more early stage and it comes in anywhere from mid-decade to end of next decade, but we're well suited across the whole portfolio right now.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Right. Okay. And then in terms of the DuPont business, as you think about next year, I think you noted on the legacy business would be up mid single digits. But what about DuPont's asset for next year, what type of growth do you expect to see from them on the year-over-year basis?
Pierre R. Brondeau - FMC Corp.: I think we need to dive into the numbers and specific customers and crops to really finalize that. The initial look we had, I'd say it was a look we had especially driven by this call here because we knew we'd have to give you a sense. The business is going to grow in 2017 6%, knowing that the 6% was driven by specific countries, region and crop plus was done with a significant work to decrease channel inventory. Between the drivers and the decrease of inventory, we see absolutely no reason not to have at least the same growth rate going into 2018. Actually, with the analysis we've done, we are looking to demonstrate that very early in the year with a solid growth in Q1. So 2018, at least, the same number, starting pretty strong in Q1.
Michael J. Sison - KeyBanc Capital Markets, Inc.: Great. Thank you.
Pierre R. Brondeau - FMC Corp.: Thank you.
Operator: Thank you. Your next question, that comes from the line of Daniel Jester from Citi. Please go ahead.
Daniel Jester - Citigroup Global Markets, Inc.: Hey. Good morning, everyone. Thanks for taking my question. So, just on Europe, year-to-date the volume has been probably the weakest region for you guys. I know that there were some weather issues there, but is there anything else happening in Europe and can you kind of frame how 2018 could evolve there? Thanks.
Mark A. Douglas - FMC Corp.: Yeah. No, nothing really else apart from the weather impacts that we saw earlier on the year. And then obviously, as we're going through the rest of the year, we alluded to it in the script here from Pierre that France is the last country that we're changing the distribution channel from the Cheminova acquisition. So where we would normally be selling in Q3 and Q4 into that distribution channel, we're not selling right now because we'll be doing that directly ourselves as we go into the season in the first part of next year. So that has a somewhat meaningful impact. But apart from the weather impacts which have been pretty severe depending on the north and the south, there's been no other fundamental issues in the business.
Daniel Jester - Citigroup Global Markets, Inc.: Okay. And then just another really quick one. If I remember last year in the U.S. in the fourth quarter, you guys had a very strong pull forward of pre-emergent herbicide sales into the U.S. As you see the fourth quarter evolve this year, are you seeing the same type of trend or could that be a headwind if it doesn't work? Thanks.
Mark A. Douglas - FMC Corp.: No. We're seeing exactly the same trend. Pre-emergents are doing well and there's a lot of changes in the herbicide market in North America but our pre-emergent Authority brands are a market leader and continue to do very well and orders are strong.
Daniel Jester - Citigroup Global Markets, Inc.: Okay. Thank you very much.
Pierre R. Brondeau - FMC Corp.: One comment about that question which I want to make sure is clearly understood. We had a very strong third quarter, but we see same trend in the fourth quarter, which mean it was not moving forward orders or just things are falling in space and the fourth quarter is as strong as we're expecting it before with significant growth driven mostly by Latin America but also a healthy situation in North America despite the strong third quarter. So there was no pull by our customers or early buys. So it's important to see sales are fully in place in the right quarter.
Daniel Jester - Citigroup Global Markets, Inc.: Great. Thank you.
Operator: Thank you. Your next question comes from the line of Brett Wong from Piper Jaffray. Please go ahead.
Brett W. S. Wong - Piper Jaffray & Co.: Hey, guys. Thanks for taking my questions. I just wanted to follow up on an earlier one. You talked about or provided some color on your Ag R&D focus going forward, really talking about product categories. So I was just wondering if you can provide a little color on the crops that you're going to focus on.
Mark A. Douglas - FMC Corp.: Yeah. Brett, we've said in the past that obviously we have more of a niche focus, a niche crop focus. When you look at our mix, we're somewhat more heavy in some of the niche crops such as cotton and sugarcane, less so in corn, and then all the various tree fruits and vegetables. I think with the acquired portfolio, obviously, that expands Rynaxypyr and Cyazypyr big on niche crops. Going forward, I think on the fungicides, if we can go into that space, we will focus on niche crops. But also Asia soybean rust down in Latin America is a major, major issue. If we can develop products into that space, we will be happy to do so, and that would give us more of exposure in soy in Brazil. But outside of that, it's going to very much depend on the types of products that come out with regards to the crop focus.
Operator: Thank you. Your next question now will come from the line of Laurence Alexander from Jefferies. Please go ahead.
Daniel Rizzo - Jefferies LLC: Hey, guys. It's Dan Rizzo on for Laurence. How are you? You mentioned that focuses for growth going forward would be nematicides and fungicides. Is there a particular end crop that would be a focus as well to kind of go with those or that shows the most promise in terms of how they apply with those products in mind or those product categories in mind?
Mark A. Douglas - FMC Corp.: Yeah. Just to clarify, what I said was, from an R&D perspective, from discovery, we would obviously like to expand our fungicide and nematicide, that's much more longer term given that it takes 10 to 12 years to bring a product to market. Our near-term focus will be continuous across the niche crops and then bringing products that are differentiated to any of the row crops whether it's soy or corn. Obviously, with the acquisition, we have a much broader portfolio for cereals now, so we're going to be looking at potential growth opportunities there with the strong portfolio that we have.
Daniel Rizzo - Jefferies LLC: Okay. And then with regards to Brazil, you've kind of laid out how things are going there. But is there any concerns about maybe farmers trading down to cheaper products this year as just as a counter to what with the environment that's occurring there?
Mark A. Douglas - FMC Corp.: No. I don't think any more than normal having – Brazil is a very competitive marketplace. We're used to operating there. You will remember we jettisoned a lot of our generic third party products a couple of years – over the last couple of years. So we've really been focused on more of our proprietary portfolio. Doing very well in sugar cane, insecticides, specialty insecticides for the soy area are doing well. Obviously, cotton is strong. So we're not big there but it's no worse than it normally is in my opinion.
Daniel Rizzo - Jefferies LLC: Okay. Thank you very much.
Operator: Thank you. And your last question comes from the line of Chris Kapsch from Loop Capital. Please go ahead.
Chris Kapsch - Loop Capital Markets LLC: Hey. Good morning. I had a follow-up in for each segment. Just in ag following up on the discussion around synergies with the DuPont acquisition. I appreciate the opportunity there is really focused on – or the big piece of the opportunity there is more about cost avoidance, in other words, costs you don't have to layer in as you absorb that business. But I'm curious about how that is juxtaposed against the TSAs that are in place. So what are the magnitude of TSAs? As you identify cost avoidance opportunities are those mutually exclusive or do you have to – or as you figure out what costs you don't need to avoid, do you then have to fade some of the costs associated with current TSAs in place. I'm just trying to understand when you'll be able to recalibrate on what the real costs are necessary to run those businesses.
Pierre R. Brondeau - FMC Corp.: Yes. So we have a TSA with DuPont which had a cost, we were expecting in the $50 million range for very well-defined services. And over the next 18 months, this TSA is going to be phasing out, which mean we don't keep the TSA all the way to the end. Once this TSA was defined, our functional team finance, IT and others define the bare minimum structure they would need to operate that business. And that's what we are putting in place and we are making good progress, to almost get to this. At this point, we're going to pose. These points will be well below the model but we are not sure that this place where we'll pose will be strong enough for us to be able to operate the business for the two-year period while we have a TSA in front of us. So that is the process we are following our targets. I would say by early into next year we should have a pretty strong idea of bare minimum plus what do we need to run the business which will create the operating model going into 2018.
Chris Kapsch - Loop Capital Markets LLC: Okay. That's helpful. Thanks. And then just following up on the Lithium business here, looking at the fourth quarter guidance for I think 17% sequential earnings growth. Just curious about, one, that pricing assumption that's baked into that sequential earnings progression. And then also you mentioned that in the month of September, your new hydroxide plant was running at 9,000 metric tons. Is that to imply that the product you're producing is fully qualified or are you in the process of still ramping up the qualifications? And if that's the case, can you just talk about how you see that qualification progressing sequentially in the quarter and into 2018?
Thomas Schneberger - FMC Corp.: Yeah. Hi. This is Tom. So starting with the question. The customer qualifications went extraordinarily well. Traditionally in these markets, it's 9 to 12 months. I've seen even multiple year of qualification processes. We are qualified across our customer base. There's a few still in the process but it relies on customer processes. So there's no concern. We're qualified for the sales that we have forecasted. And in terms of the pricing, it's relatively minor impact Q3 to Q4 the way that the mixes go, it's relatively minor on price, mostly volume Q3 to Q4.
Chris Kapsch - Loop Capital Markets LLC: And then could you just extrapolate on that last comment into 2018 at this juncture? Based on the contract that you took. Thank you.
Thomas Schneberger - FMC Corp.: So earlier I had indicated we expect more than half of the benefit going into 2018 to be price and we just started those conversations. So it could be a little bit better.
Chris Kapsch - Loop Capital Markets LLC: Thank you.
Operator: Thank you. I'd like to turn the call over to Michael Wherley for closing remarks.
Michael Wherley - FMC Corp.: That's all the time we have for the call today. As always, I'm available following the call to address any additional questions. Thank you and have a good day.
Operator: Thank you. This concludes the FMC Corporation Third Quarter 2017 Earnings Release conference call. Thank you.